Operator: Good afternoon. My name is Lauren, and I will be your conference operator today. At this time, I would like to welcome everyone to Paycom's First Quarter 2025 Financial Results Conference Call. [Operator Instructions] I will now turn the call over to James Samford, Head of Investor Relations. You may begin.
James Samford: Thank you, and welcome to Paycom's earnings conference call for the first quarter of 2025. Certain statements made on this call that are not historical facts, including those related to our future plans, objectives and expected performance, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements made on this call are reasonable, actual results may differ materially because the statements are based on our current expectations and subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the SEC, including our most recent annual report on Form 10-K. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statement made speaks only as of the date on which it is made, and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Also during today's call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA, non-GAAP net income and certain adjusted expenses. We use these non-GAAP financial measures to review and assess our performance and for planning purposes. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today, and is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom's CEO and President. Chad?
Chad Richison: Thanks, James, and thank you to everyone joining our call today. I'll focus my comments on some of our achievements in the first quarter and the progress we've made executing on our 2025 plan. I'll then turn it over to Bob for a review of our first quarter results and an update of our full year guidance. We will then take questions. With that, let's get started. We are executing very well in delivering strong ROI for our clients as they are experiencing the benefits of our full solution automation strategy. Recent product enhancements and client-focused initiatives are driving positive trends across our client usage metrics, and our Net Promoter Score increased another 16 points year-over-year. We have the most automated solution in the industry and our clients routinely attested this. Our award-winning solution, GONE, is a perfect example of how Paycom simplifies tests through automation and AI. GONE is the industry's first fully automated time-off solution that decisions all time-off requests based on customizable guidelines set by the company's time-off rules. Before GONE, 10% of an organization's labor cost went substantially unmanaged, creating scheduling errors, increased cost from overpayments, staffing shortages and employee uncertainty over pending time-off requests. According to a Forrester study, GONE's automation delivers an ROI of up to 800% for clients. GONE continues to receive recognition. Most recently, Fast Company magazine named Paycom, one of the world's most innovative companies for a second time. This honor specifically recognized GONE and is a testament to how Paycom is shaping our industry by setting new standards for automation across the globe. Another example of automation that is changing our industry is Beti. Our award-winning payroll solution continues to be a major selling point. Organizations looking to reduce the labor needed to process payroll by up to 90% and also cut the time spent correcting payroll errors by up to 85%. Beti allows clients to focus resources on profit-driving initiatives as it eliminates human involvement in non-revenue-generating tasks like post payroll adjustments, check reversals, voids, ledger corrections and more. Thanks to Beti and the importance of perfect payrolls, we are also successfully getting former clients back onto the Paycom platform. We recently brought back a 500-employee health care company, who quickly realized the pain they brought on themselves by switching to another provider. With this other provider, this client lost the transparency and ability to fix errors before they became problems. In fact, their employees were some of the biggest advocates and encourage this client to return to Paycom because they missed having control over the accuracy of their pay. Once employees experience Beti, they don't want to go backwards in technology. The client returned to us within 9 months and went from processing payroll in 4 days with their previous vendor to 4 hours with Beti. Sales continues to break records, including the first quarter, where we saw a meaningful increase in book sales. We also saw an increase in the number of units sold for the quarter as compared to the same period last year. One of the new clients we onboarded was a 2,500-employee restaurant group who wanted a single easy-to-use software solution. Working across nearly 80 locations, this group is now utilizing Beti and the rest of the Paycom suite to automate tasks that were previously performed across numerous systems, which created data inconsistencies. More and more businesses like this one are abandoning disparate decision-making processes for more consistent, scalable and automated solutions. Organizationally, Paycom was named one of America's best large employers by Forbes, and Newsweek ranked us as one of the most trustworthy companies in America for a fourth consecutive year. Both are testaments to the strategy and execution of our organization. I'd like to thank our employees for their hard work and dedication that they demonstrate every day. We have a strong balance sheet with high-margin organic growth. We are building on strong momentum, and I'm very pleased with how this is setting us up for even stronger results through the rest of 2025 and beyond. With that, let me turn it over to Bob.
Bob Foster: Thank you, Chad. Before I review our first quarter 2025 results and our commentary for the remainder of 2025, I'd like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. We delivered solid first quarter results. Total revenue of $531 million increased 6% over the comparable prior-year period, including a milestone quarter for recurring and other revenue at $500 million, up 7% year-over-year. As expected, rate cuts in 2024 represented a headwind to interest on funds held for clients, which declined 10% year-over-year to approximately $31 million in the first quarter of 2025. GAAP net income in the quarter was $139 million or $2.48 per diluted share based on approximately 56 million shares. Non-GAAP net income for the first quarter was $158 million, or $2.80 per diluted share. We delivered strong profitability in the first quarter. Adjusted EBITDA of $253 million increased 10% over the prior-year period, representing a 48% margin and a 180 basis point increase over the prior year period. Margin strength in the quarter was driven by solid revenues and effective spend in sales and marketing and G&A. At the same time, we continue to invest in the areas of AI, product and R&D. Combining these with efficiencies from internal automation initiatives, we are well positioned to deliver an even stronger full-year adjusted EBITDA margin than last year. Our balance sheet is strong. We ended the first quarter with cash and cash equivalents of $521 million and no debt. The average daily balance on funds held for clients was approximately $2.9 billion in the first quarter of 2025. During the first quarter of 2025, we paid approximately $21 million in cash dividends. Earlier this week, the Board approved our quarterly dividend of $0.375 per share payable in mid-June. We repurchased $5 million of common stock through net downs on vested stock during the first quarter of 2025, and we still have $1.47 billion remaining under our stock repurchase plan. As a reminder, our capital allocation strategy includes a disciplined return of capital through our dividend plan and opportunistic repurchases through our buyback authorization. Now let me turn to guidance for 2025. We continue to have success selling and onboarding new logos. Based on our strong Q1 results and outlook for the remainder of the year, we are raising our full year revenue and adjusted EBITDA guidance ranges. We expect total revenue to be between $2.023 billion and $2.038 billion, up approximately 8% year-over-year at the midpoint of the range. For the full year 2025, we expect recurring and other revenue to be up over 9% year-over-year, including growth of approximately 10% year-over-year for the remainder of 2025 with the highest growth coming in Q4. Our expectation for interest on funds held for clients remains unchanged at approximately $110 million in 2025, down 12% year-over-year. Automation of HCM and payroll manual task is driving our own internal efficiencies. Because of the efficiencies, we are realizing throughout our business, we are raising our full year adjusted EBITDA guidance range to be between $843 million and $858 million. This represents an expansion of adjusted EBITDA margin to approximately 42% at the midpoint of the range, up 70 basis points compared to 2024. Other forward-looking items include full year GAAP and non-GAAP tax rate of 28% and 27%, respectively, and stock compensation of approximately 8% of revenues. We are pleased to see our teams executing well against our full year plan and the positive response from the market. We will continue to invest in our strategic initiatives focused on world-class service, full solution automation and high client ROI. With that, we will open the line for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Raimo Lenschow from Barclays. Your line is open.
Raimo Lenschow: Congrats, great start to the year. Two quick questions, one for Chad. Like at the moment, everyone is obviously worrying about tariffs, volatility. Can you talk a little bit about what you're seeing in your field, I would assume it's not that much, but like what's the feedback from the sales guys, etcetera, on that one? And then one question for Bob. You talked about the efficiency gains that help you on the EBITDA side, like can you maybe give us a couple of examples? And how far can you push that to understand that a little bit better? Thank you.
Chad Richison: Yes, I'll take the tariffs. I mean, I would say it's still early to kind of be able to judge specifically. I would say we don't have much direct exposure to it. We're not over-concentrated down market where you might see more of the maybe mom-and-pop impact a little bit more than what you could from a total employee base impact. But ultimately, anything that impacts our clients does impact us. It's just -- we haven't seen anything yet. And -- but it is something that we'll continue to monitor. I would say that it would have to have an impact on employee count and the overall employment, I would say, to really have a meaningful impact on us. But like everyone else, it's something we're monitoring.
Bob Foster: And Raimo, on the efficiency gains, just like our clients, we use our product -- all of our product suite. And as we continue to see how we can implement and maybe there's somebody that doesn't have to -- that might leave and we don't backfill in a position, let's say, or expense management is a great way where we do some automation around there with our products. So we're seeing the benefits of our full solution automation throughout basically our entire organization. We've talked in the past about how we are dealing with less tickets now through automation and our service to provide better service to our clients.
Operator: Thank you. Our next question comes from Samad Samana from Jefferies. Please go ahead.
Samad Samana: Hey good evening and thank you all for taking my questions. Congrats to the whole organization. Maybe one for you, Chad, and then one follow-up. Just as I think about the new offices. I know that they usually take, let's call it, 18 to 24 months to ramp. I think last quarter, you had mentioned that maybe this go around -- it could be a little bit faster. Just are those staffed have you seen in terms of early impact? And then a follow-up on the -- just in terms of the shape of the year, I'll go and ask them at the same time. Any shift in the number of processing days? Like does 4Q have an extra day? Just trying to understand the shape of the year with more context. Thank you both for answering my questions.
Chad Richison: Yes. So on the new offices, we get better and better as we open offices. And as you know, we didn't open offices for a couple of years there. And so when we did open up those offices, we were better prepared to hit the ground running. They're still going to mature in 24 months. It will still take 24 months before a new office will be carrying the same level of quota of a mature office, but we are getting better as we've opened up offices. As far as processing days, any given year, you are going to have a little bit here and there. We have -- we did kind of discuss it a little bit last quarter and then any impact from either additional or less is included in our current guide.
Operator: Thank you. Our next question comes from Mark Marcon from Baird. Mark, please go ahead.
Mark Marcon: Hey good afternoon and thanks for taking my questions. So two major questions. One, Chad, can you describe a little bit more about what you've done recently in terms of fine-tuning the sales process, both externally as well as in terms of the internal CRR group in terms of how they're approaching clients, and what sort of results you're seeing from that? That's the first question. And then the second question is just more on the margins. When we think about the Q1 to Q2 transition, obviously, there's going to be some seasonality, and obviously, there's some high-margin work that goes into Q1 and inflated fund balances. Can you give us a little bit of guidance just in terms of thinking through Q2 just in terms of the typical seasonality? Thanks.
Chad Richison: Yes. So well, first on the sell side, I would say that we've been continuing to get better and better in sales. I do believe that our sales staff is the best in the world at what they do. And we did have a reconstitution, if you will, of training early part of last year, as Amy kind of took over the group to get back to the normal blocking and tackling that we've always done here at Paycom. That resulted in increased sales, especially as well as increased units, new logo adds. Obviously, those came on throughout the year and most would have all started by now. And then as we turned into first quarter, we saw a continuation of the same, up meaningfully in both book sales and units and so activity matters in sales. And then, of course, having a product that's getting better and better and better as we go to market, removing barriers of usage. And then as far as the -- on the efficiency side, we're automating everywhere, I mean we are automating our product for the client -- we're automating our product for the client, and we're also automating things internally. There are several tasks that we have to perform on the back end that we've been able to automate, and that has an impact on our adjusted EBITDA across the board, but it also has an impact on the client experience. And that's really why we're doing a lot of the things that we're doing through automation. I'd like to say the only reason a client even calls us is due to the deficiency in the software that we create. And so a lot of our focus has been removing impediments, removing clicks and really focusing on allowing the client to have a full solution -- fully solution automated product. And so that's been impacting our margins, and that's been impacting our sales.
Operator: Thank you. Our next question comes from Steve Enders from Citi. Please go ahead.
Steve Enders: Thanks for taking the questions, here. I guess -- sorry, I want to ask on, I guess, the kind of free cash flow dynamics was pretty solid here. Is there anything that we should be kind of keeping into account for timing impacts or how we should be thinking about how that maybe compares to the EBITDA progression for the year? And then secondarily, just on the mid-market opportunity, it seems like there was good traction there last quarter and just wanting to see how that's maybe tracking comparatively from what you saw in 1Q here?
Chad Richison: Yes. I mean, the mid-market opportunity, I mean, I would say everywhere for us is going very well. I mean, we're not seeing any changes to demand. If anything, I've always kind of said we also create demand ourselves by the work we do. And as I just talked about, first quarter was up meaningfully for both revenue from a book sales perspective as well as for units. As far as the free cash flow conversion, we did talk about how we've substantially finished out the completion of our facilities. I think we've got a parking garage and something else that will be coming online. I will say this, though, we are very ambitious with what we do with our technology and what we're doing in the ways of the AI and other. And over time, I would think that some of that spend that we spend on facilities, I think you would see some of that transfer to those technological assets that are required to really run a full-scale fully automated product. But we don't guide to free cash flow. It has been a focus of ours to be able to improve that. And I think you've seen a little bit of that recently.
Operator: Thank you. Our next question comes from Jason Celino from KeyBanc Capital Markets. Please go ahead.
Jason Celino: Great, thank you. I'm just trying to decipher some of the subtleties in kind of the script language today. I think, Bob, in your section, you mentioned the recurring revenue growth being up over 9% this year. I think before it was technically approximately. And then I think you also said that it would be up 10% for the remainder of the year. Is that like an average? Or is that kind of like each quarter? Just curious there.
Robert Foster: Yes, Jason, we've talked about being consistent for the Q2, Q3 and Q4 with a little acceleration in Q4 on recurring revenue. That's how we're looking at that.
Jason Celino: Okay. Perfect. And then changing topics a little bit. I think in the quarter, there was a press release saying that you received authorization as a payment institution from the Central Bank of Ireland. Curious what this means for the business and the international part of the story. Thank you.
Chad Richison: Yes. So Ireland and being there allows us to get to the rest of Europe from there. And we've been focused on continuing to build out our product. I mentioned global HCM that works for all countries. We continue to onboard for that. We actually process native payroll in for other countries other than the U.S., which includes the banking side of it. And so we're continuing to do that. And this was one of the steps that you take to be able to continue to move further into Europe.
Operator: Thank you. Our next question comes from Daniel Jester from BMO Capital Market. Please go ahead.
Daniel Jester: Great. Thank you very much for taking my question. Maybe just another one on the product side. You also talked this quarter about, I think some credentialing on the background screening side. I guess, is that an incremental revenue opportunity? Or how should we be thinking about that?
Chad Richison: Yes. So we've been in pre-employment services for a while now. In fact, I think we're -- from a size perspective, we're one of the largest out there right now. And so that's been a part of our business for a while. We've continued to get more and more of our clients on that. I would say that I don't know of a better pre-employment service than Paycom's as far as a quick return and its accuracy. So that was confirmed, obviously, by receiving this accreditation. And that's just something that allows us to have a proved source for how well our product is doing for our clients, but also as we move forward and sell other clients, there's no reason for them not to switch preemployment over to Paycom as well.
Daniel Jester: That's great, thank you. And then in the script, you talked about a boomerang client who left and came back. I guess, do you have specific programs targeting some of those customers that may have churned over the past few years?
Chad Richison: Our best prospects sometimes are clients that left because they didn't solve the problem. It's oftentimes just the thorns pulled out of the paw and it didn't really come with a full solution. And I mean at the end of the day, clients of ours who are using our products as they leave and try to go to other companies or maybe they got sold something shiny or maybe it's a cost type thing. At the end of the day, when you look at total cost of a system, you have to include both what you're paying as well as the ROI that it delivers to you and the value that you're achieving. And when that's real, and you leave and it doesn't work out, you look to come back. We're also focused on that. We want every client to come back. I mean, there's no questions asked on our part, let's get going. And so we do have a strategy to get clients that have left back. We also have a strategy to make sure that clients are receiving the value so that they don't have to go through that pain of a conversion to just to turn around and come back to us. And so that remains a part of our overall strategy. It has, and we're having a lot of success with that.
Operator: Thank you. Our next question comes from Jared Levine from TD Cowen. Please go ahead.
Jared Levine: Thank you. Adjusted S&M had limited sequential growth relative to recent years and haven't really seen too many TV commercials in recent months. Can you talk about how advertising spend is expected to impact FY 2025 margins? And is there any new strategy surrounding advertising spend right now?
Chad Richison: Yes. I mean, we are still continuing to spend brand advertising, which is more what you're talking about with commercials and things on TV. We're also doing a lot more direct as we continue to move people down the funnel. We have deployed different initiatives through marketing and advertising that we have not done previously that we're having more success with as well. But I mean, to the extent we were a little light in first quarter on marketing spend, it will be up more in subsequent quarters before as well. We're not reducing what we're doing in marketing and advertising, but you will have some timing here and there based on the spend, especially now that we're doing more direct than what we have been doing in the past.
Jared Levine: Got it. And then just wanted to clarify in terms of Xflow growth cadence for the year. Can you dig into why the 4Q Xflow growth would be the highest for the year?
Chad Richison: Yes. I mean, as we continue to go through the year, fourth quarter has always kind of had that opportunity with your additional payroll runs, which, again, are hard for us to necessarily forecast right now, but we do have placeholders for that. I think you saw fourth quarter last year was also one of our largest growth quarters. And so -- and also, I would say, traditionally, first quarter has been -- was like that for quite a long time, but with our first quarter forms business, it just doesn't grow at the same level with the rest of our business. Meaning at the end of the year, we've pretty much done ACA, W2s and 1099s for about 10 years now, we haven't added any additional annual services to that. I believe the fees are the exact same that they were 10 years ago still. And so meanwhile, the rest of our business with the products that we make and sell. It continues to grow disproportionately to those forms of business in the first quarter. And so you've been kind of seeing a little bit of a trend of that in regards to fourth quarter because of those additional payroll runs.
Operator: Thank you. Next question comes from Bhavin Shah from Deutsche Bank. Please go ahead.
Bhavin Shah: Great. Thanks for taking my question. Chad, just back to the authorization you received be a payment institution in Europe. But what are the next steps that you're looking to accomplish to go further into that region? And then how are you kind of thinking about your go-to-market strategy, your product strategy internationally as you progress kind of down the path?
Chad Richison: In our global market strategy right now is focused on U.S.-based companies that have locations, employees and operations in other countries, as we continue to build out our systems and as it makes sense for us to go in country to make sales locally to those, that's something that will be deploying at the right time for now. This allows us to move money throughout Europe. The last yard of a payroll is actually getting it into the employee's account correctly. And if you do everything else right, you don't do that part, you kind of did nothing. So for us to make sure that we ensure the highest quality for all of our clients, we like to keep the ball in our hand, and this is something that's required to do that.
Bhavin Shah: That's helpful there. Just one quick follow-up for Bob. Just on the flow guidance, can you just remind us what's embedded in terms of rate cut expectations? Thanks so much.
Robert Foster: Yes. We had two rate cuts embedded in the guidance, one in June and one in December.
Operator: Thank you. The next question comes from Joshua Reilly from Needham and Company. Unknown Analyst. Please go ahead.
Unidentified Analyst: Hi, this is Ian [ph] Black on for Joshua Riley. Thank you for taking my question. How is gross retention trending given the improving customer satisfaction and the lapping of any churn on the shift to Beti?
Chad Richison: Yes. So we do report retention once a year. Obviously, it's reflected. The net of it is reflected in both of our current quarter achievements as well as any future guidance. We did talk about on the call how our Net Promoter continues to go up, and also that we are continuing to see more utilization of all of our products as we've removed more and more impediments to good usage. All of that is meant to have a positive impact on our retention. So those are all early indicators of things that we would expect to be reporting at the end of the year.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question comes from Siti Panigrahi from Mizuho. Please go ahead.
Phillip Leytes: Hey it's Phil on for Siti. Just a quick one for me. Are you guys seeing any shifts in how your competitors are positioning on price or discounting in the market?
Chad Richison: Not be different than anything we've seen in the past.
Phillip Leytes: Got it. Thank you. It’s helpful.
Operator: Our next question is Brian Schwartz from Oppenheimer. Please go ahead.
Brian Schwartz: Thank you for taking my questions this afternoon. A nice start to the year. Chad, in terms of maybe more of a real-time question on what you're seeing in terms of demand. Clearly, the macro pressures did not impact the business at all in 1Q. But how is the business faring in April when those macro pressures intensified? And I have a follow-up for Bob.
Chad Richison: Yes. I mean, we're just not seeing it right now. I mean, again, I wouldn't say we're overexposed to any one industry or any one employee size necessarily. We don't -- definitely don't have overexposure to the small business side. I will just say, I think there's a lot of different movements. And I think as you have different tariffs and what have you. businesses will maneuver and to maneuver to what makes sense for them. And so I think there'll be a lot of that at play as we move on. I think it's important to keep in mind, although our direct exposure is low, and we're not seeing anything. I mean, we are not seeing anything. Anything that impacts our clients, I mean it will eventually impact us, but that would have to be somewhat reflected through reduction in force. And so I think you would have some leading indicators to that. And right now, we just -- we don't have anything to call out.
Brian Schwartz: My follow-up question for Bob, given the greater operating efficiencies that you're realizing internally from AI, has that made you change the hiring plan for the year? Thanks.
Chad Richison: No, we have had an AI plan and a full automation plan for a little bit now. And so our hiring plans did change, but not for what our expectations were this year. We've been able to repurpose people in different areas. I do always want to -- I do want to make a point on this, though. With all the automations that we've done on the back end, we will always have a high-touch service model. We do have a high-touch service model. And we're putting a lot of resources into our people to make it easier for them to service our clients as well as allow the clients to get more value out of the product without having to crawl through something to get it. And so we've been very focused on that. With greater automation, obviously, we can do things quicker, and it doesn't require the same type of labor commitment to it. That said, when you have great people and you do have an opportunity to put them in places that can make impacts, we look to do that. So oftentimes, to Bob's point, Bob made the point early in this call. It's oftentimes where we just don't need to hire as many people in certain areas. There are areas within Paycom that continues to grow at a rate equal to or larger than it has in the past when you're looking at areas like sales, you're looking at areas like software development and those types of areas. And so -- and then there's other areas which were more administrative on the back end, which are -- those are being automated. I mean, I'm telling people. I mean, if you're inputting something into spreadsheets and out of spreadsheets and all that, I mean, that's going away. It's going away, and it will end up going away everywhere. So get a skill set that's not that. And that's what we're focused on. And so we're that type of business, we create value for our clients when we automate, we create value for ourselves when we automate, and that's what we've been focused on for quite some time now, and it's rolling out. It's actually rolling out. It's not just a goal. We're actually achieving it rolling out throughout the product as well as our back end.
Operator: This completes the question-and-answer portion of today's call. So I will now turn the call back over to Mr. Chad Richison for closing remarks.
Chad Richison: I want to thank everyone for joining our call today, and I want to thank our employees for all their hard work and their commitment to Paycom's success. We'll be participating in several investor events this quarter, including the Needham Virtual Technology and Media Conference on May 12. Then on May 28, Bob and James will be attending the Jefferies Software Conference in Newport. And finally, on June 3, we'll be presenting at Baird's Global CTS Conference in New York City. Thanks for your interest in Paycom. And operator, you may disconnect.
Operator: This concludes today's conference call. You may now disconnect.